Operator: Good morning and thank you for joining the Greenlight Re Conference Call for the Fourth Quarter of Full Year 2014 Earnings. Joining us on the call this morning are David Einhorn, Chairman; Bart Hedges, Chief Executive Officer; Tim Courtis, Chief Financial Officer and Jim McNichols, Chief Actuarial Officer. The Company reminds you that forward-looking statements that may be made on this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical facts, but rather reflect the Company's current expectations, estimates and predictions of our future results and events and are subject to risks, uncertainties and assumptions, including those enumerated in the Company's Form 10-K dated February 17th, 2015, and other documents filed by the Company with the SEC. If one or more risks or uncertainties materialize or if the Company's underlying assumptions prove to be incorrect, actual results may differ materially from those that the Company projects. The Company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Please note this event is being recorded. I would now like to turn the conference over to Bart Hedges. Please go ahead sir.
Bart Hedges: Good morning. Thank you for taking the time to join us today. The reinsurance market remain challenging during 2014, in general the market remains over capitalize in this highly competitive especially for new business. In the fourth quarter of 2014, Greenlight Re generated a $4.6 million loss on our underwriting portfolio and a $72.8 million gain in our investment portfolio. Overall, our fully diluted adjusted book value per share increased by 5.5% in the quarter and increased by 10.2% for the year to $30.76. Our 2014 underwriting results deteriorated primarily due to adverse reserve development on certainly commercial automobile and general liability contracts and run-off which I will describe more fully in a moment. Our combined ratio for the full year 2014 was 102.9% compared to 97.1% for the prior year. The adverse development added 5.1 points to our 2014 combined ratio, our written [net] earned premium decrease from the prior year, primarily due to the non-renewal of a non-standard automobile contracts, while general and administrative expenses were flat for the year. This deleveraging increased our expense ratio and added 2.2 points for the combined ratio. During the fourth quarter, we strengthen loss reserves relating to commercial automobile and general liability contracts and run-off by 6.9 million and 6 million respectively, while we released approximately 4.5 million of loss reserves relating to employer stock loss. Reserve deterioration for commercial automobile relates to one contract where we’ve appointed a new claims handler who reviewed all the claims in the portfolio and were actively close claims reducing the count by over 60%. The adverse development on general liability reserves relates to a contract that has suffered a large number of asserted claims for construction defects by small contractors, majority of these claims close without any indemnity payment and majority of the adverse development relate to claims handling costs. Overall, this is not a large contract and while further development is possible there is a much lower level of exposure that we had to commercial automobile contract that deteriorated couple of years ago. While the reinsurance market remains challenging, we are winning new business in both our Cayman and Irish operation. Some new contracts are with larger syndicated reinsurance placements for general casualty and professional liability business, which has a longer duration of claims payments than the business we currently write. Pricing on these opportunities is competitive but acceptable and we believe we have partnered with the best in class underwriters with whom we can grow overtime. Our relationships with key brokers and underwriters in these markets of history, solid balance sheet and A.M. Best A rating were key factors in attracting these opportunities. Additionally, we are developing products to help attract new business with targeted companies to help us expand the amount of business that we do with existing partners. The team is energized and we feel good about the start of 2015. Our property catastrophe retro accounts continue to benefit from the light year from catastrophe. However, this was the most competitive area in the market due to influx of alternative capital and the recent history of years without a major loss. We have renewed a couple of relationships in this phase and we wrote two deals at January 1 with new partners, we have repositioned our catastrophe retro book of business from predominantly excessive loss contracts to quota share contracts because there is less available capacity from alternative capital providers in this area and we believe the terms and pricing are better now for quota share than for excess loss. Our maximum exposure to a single event as of January 1, 2015 is $162.5 million and our maximum exposure to all events is $216.2 million. As a reminder, we measure our aggregate as the maximum amount of limit available, plus the amount of reinstatement premiums due, we do not use the Probably Maximum Loss or PML approach. While the calendar year underwriting result was below our expectations, our current portfolio is performing well, our pipeline of opportunities is strong and we’re finding new business in a very competitive marketplace. Now I’d like to turn the call over to our Chairman, David Einhorn to discuss our investment results from the progressing Greenlight Re overall strategy.
David Einhorn: Thanks, Bart and good morning everyone. The Greenlight Reinvestment portfolio returned 5.3% in the fourth quarter, bringing the 2014 full year return to 8.7%. During the quarter, the portfolio profit from long, short and macro positions, leading there way were Apple, our short positions in U.S. deal in an undisclosed industrial company and the Japanese yen. Our long position in Civeo was the only significant looser in the quarter as the real estate company proved to be more sensitive to plummeting oil prices than we expected. For the full year Apple which was 41% and micron which was 61% were the significant winners in our long portfolio which return 71.8% for the year. The short portfolio went up less than the market but lost 4.2% for the year. In the fourth quarter we exited our energy positions in Anadarko BP, Mcdermott and National Oilwell Varco. We hedged our underlying exposure to oil mid-year by shorting crude oil futures. This protected us from the sharp falloff in oil prices. Our current exposure to energy primarily consists of CONSOL Energy and SunEdison, neither of which is in the oil business. We ended the year conservatively position with 39% net exposure which is 15% less net long than a year ago. The positives we see in 2015 include falling unemployment, lower oil and other commodity prices that should boost consumer spending in the short term. And the first quarter will be an easy comparison for corporate earnings given last year’s first quarter was negatively affected by harsh weather. The negatives we see include stretched valuations and earnings headwinds later this year including the strong dollar which reduces the translated earnings of foreign subsidiaries. From a macro perspective we are worried that emergency policies are now falling. We continue to maintain our macro overlay with positions in gold short Japanese yen and Chinese RMB and short French sovereign debt. 2014 has been a year of significant infrastructure build-out at Greenlight Re. Throughout the year we have organized a middle office team to help enhance our systems and data tracking. We’ve added three senior members to staff who are now fully integrated and have further enhanced our underwriting actuarial capabilities. I just returned from our board meeting and reviewed our business activity for the beginning of 2015 and our pipeline appeared strong. We’re finding creative ways to right new business despite the continued soft reinsurance environment; I’m pleased with the team’s progress. Now I’d like to turn the call over to Tim to discuss our financial results.
Tim Courtis: Thanks David. For the fourth quarter 2014 Greenlight Re reported net income of $60.7 million or $1.60 per share compared to net income of $83.9 million or $2.22 per share for the comparable period in 2013. For the full year 2014 we reported net income of $109.6 million and earnings per share of $2.89 compared to a net income of $225.7 million and earnings per share of $6.01 in 2013. Gross premiums return was $74.3 million during the fourth quarter of 2014 compared to $124.8 million in the fourth quarter of 2013. For the full year 2014 gross written premiums decrease by approximately 40% over 2013 to $324 million. As Bart discussed earlier this was primarily driven by the non-renewal of certain business which we believe was inadequately price. The composite ratio for our frequency business for 2014 was 101.1% compared to a composite ratio of 97.2% during 2013. Adverse development on prior year reserve of 5.1 points was a primary reason for the increase in the frequency composite ratio. For severity business the composite ratio was 35.8% for 2014. Our overall composite ratio was 96.7% for 2014 compared to 93.2% for the prior year. Our total general and administrative expenses for the year remain flat at $21.9 million. However lower premiums over flat expenses led to the expense ratio worsening to 6.2% in 2014 from 3.9% for 2013. As a result the combined ratio for full year 2014 was 102.9% as compared to 97.1% for 2013. We reported a net investment gain of $72.8 million during the fourth quarter 2014 reflecting a net return of 5.3% on our investments accounts. For the full year we reported net investment income of $122.6 million reflecting a net investment return of 8.7%. The fully diluted adjusted book value per share at December 31th, 2014 was $30.76, a 10.2% increase from $27.91 per share reported at December 31, 2013. Now I’ll turn the call back to Bart who will provide some concluding remarks.
Bart Hedges: Thanks Tim. Our goal is unchanged we aim to build long-term shareholder value by writing a concentrated underwriting portfolio with the best risk adjusted returns we can find and to utilize the flow generated from these contracts to invest in our value oriented long-short investment program. This investment approach has historically generated superior returns with less volatility than the overall equity markets. We will continue to execute on this strategy and remain focused on driving our key yardstick increased fully diluted book value per share. We appreciate your continued confidence in Greenlight Re. Thank you again for your time and now we would like to open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) And the first question comes from Brett Shirreffs with KBW.
Brett Shirreffs: First part, I noticed -- looks like you're seeing at the lowest level of underwriting and that’s not leveraged in over five years, could you just kind of comment on the decline and since we’re more than half through the first quarter now, how you feel about growth opportunities in 2015?
Bart Hedges: We’ve always said that the business is going to be a bit lumpy in terms of premium because of our approach in terms of the concentrated portfolio and wanting to try to avoid mispriced risk. So, as we’ve discussed before the decline in premium this year is mainly as a result of deciding to get off a one large non-standard automobile contract last year, but is also coupled with pretty competitive market to find new business. I think in the first-half we certainly found it challenging to find new things, but in the second half of the year we picked up, I think we found some new relationships, we struck on a couple of new ideas in terms of new kinds of things to offer to existing partners and I feel pretty good about it in terms of going forward. But it’s going to remain a competitive market and it's going to specially be competitive for new business, so it will be challenging.
Brett Shirreffs : And I know this isn't something you traditionally would have done; I mean would you ever consider means of capital management if the underwriting opportunities don’t present themselves and the valuation make sense?
David Einhorn: This is David speaking. We have an authorized buyback in place and if it make sense to you so we will do so.
Brett Shirreffs : And then just lastly, can you provide a little more in detail on the reserve development -- I mean were those the same contracts that cause issues back in 2012?
Bart Hedges: So basically there is three contracts that have been in run-off for a while, one of them with -- actually there was no activity on this quarter as the most mature contract that was trucking commercial automobile contracts. We’re down to literally a handful of opening claims, there is no exposure and that’s that much pretty well under control. The second one which was also a commercial automobile contract some -- around the same time, but it's a little less mature, the exposure was less long-haul trucking than the first contract that one we did put up additional reserves on this quarter and as we spoke about it was mainly adverse development on an existing number of claims, the new claims handler has made a lot of progress in terms of closing out claims in the beginning of the year, there were as many as 700 open claims, but by the end of the year there was like 250 open claims. So certainly resolving risk and moving forward but there is still potential volatility there, but we do feel good about where we are today. And then the last one which has been part of this pocket was a general casualty, mainly the claims are related to construction defect, mainly in California and to a lesser extent Nevada and Arizona. And this one is really, this is a frequency game, we’re trying to figure out exactly when the peak is going to be in terms of claims that are coming in. But there are still claims coming in, most of them have no indemnity payments and we pay couple of thousand dollars to just open the file, figure out that there is no exposure and close the file. And then there is a small number with indemnity payments and even those are small dollar amount, but in aggregate there are quite a few claims. So, I am confident we’ve got the right people looking at it and I am confident in the numbers that we’ve put up, but that one does still have some exposure to it.
Operator: Thank you. And the next question comes from Michael Weinberg with Protégé.
Michael Weinberg: Hey David, I was wondering what your view on how the Greek situation plays out in light of your view on the Greek banks?
David Einhorn: Yes, the Greek situation is more than a bit unstable at the moment. They have elected a party that wants to bring in unclear amount of change, certainly some significant amount of change and then the process of negotiating things with other European countries and I think that at this moment there is a wide range of cross outcomes there relating specifically to our position in Greek banks, what I would say is, is that a large amount of that position is structured -- is warrants and so there is really not a lot of gross dollar exposure to the downside, but there is a lot of leverage to the upside if the situation results favorably and the warrants go into the money.
Operator: Thank you. [Operator Instructions] And we have a question from Ron Bobman from Capital Returns.
Ronald Bobman : I have a sort of PFIC related question. I was curious, with the declining premium volume and the underwriting results, is there plenty of sort of headroom to steer clear any sort of heightened PFIC concerns or are you sort of well away from being you know have a heightened degree of concerned about PFIC complaints? Thanks.
Tim Courtis: Certainly PFIC is an issue that we keep track of and look at; certainly there isn’t a [bright] line test. But given our current level of premium writings and certainly looking at our pipelines we don’t believe there is a PFIC issue currently and as always we’ll keep monitoring it and act accordingly.
Ronald Bobman : Thanks, best of luck.